Operator: Good morning, and welcome to the Erie Indemnity Company's Third Quarter 2023 Earnings Conference Call. This call was prerecorded, and there will be no question-and-answer session row I'd like to introduce your host for the call, Vice President of Investor Relations, Scott Beilharz.
Scott Beilharz: Thank you, and welcome, everyone. We appreciate you joining us for this recorded discussion about our third quarter results. This recording will include remarks from Tim NeCastro, President and Chief Executive Officer; and Julie Pelkowski, Executive Vice President and Chief Financial Officer. Our earnings release and financial supplement were issued yesterday afternoon after the market close and are available within the Investor Relations section of our website erieinsurance.com.  Before we begin, I would like to remind everyone that today's discussion may contain forward-looking remarks that reflect the company's current views about future events. These remarks are based on assumptions subject to known and unexpected risks and uncertainties. These risks and uncertainties may cause results to differ materially from those described in these remarks. For information on important factors that may cause such differences, please see the safe harbor statements in our Form 10-Q filing with the SEC dated October 26, 2023 and in the related press release. This prerecorded call is the property of Erie Indemnity Company. It may not be reproduced or rebroadcast by any other party without the prior written consent of Erie Indemnity Company.  With that, we'll move on to Tim's remarks. Tim?
Timothy NeCastro: Thanks, Scott, and good morning, everyone. Before we get into our financial results for the third quarter, I'd like to share some details around the recent announcement we made related to our approach to hybrid work. We began to return to on-site work last year, we acknowledge we would need to learn and adapt. We knew we'd likely evolve as we experiment with new ways of working following the pandemic. Now, after more than a year of working on a variety of hybrid arrangements, we've learned we need a more consistent approach to how and where we work. We believe it's important to increase the opportunities for employees to work together in person to collaborate and learn from one another. This helps us build stronger bonds with our colleagues and ultimately, stronger teams. We also know that in-person interaction is important to our business. For building the relationships vital to our business model and for upholding our service promise to customers and agents. At the same time, we recognize employees have come to value the flexibility hybrid arrangements offer. With all that considered, we landed on a balanced and innovative approach. It increases opportunities for in-person interactions while giving employees more choice over when they work remotely.  Starting in January, employees and hybrid roles will be given in a lot in the 52 days to work remotely each year. Employees will work on site in our offices on days that they are not using in a lot of remote day. This revised approach will help preserve distinct relationship aspects of our business and the vibrant Erie workplaces that support our collaboration, creativity and success.  And now let's turn to our financial performance for the third quarter of 2023. With respect to the Erie Insurance Exchange, inflation and weather-related events continue to adversely impact our combined ratio. Our year-to-date net combined ratio climbed from 120.8% through the first 2 quarters to 121.9% by the end of September. Positive investment income was not enough to offset underwriting losses resulting in a surplus decline of 6% since the second quarter.  However, we remain very strong financially with an overall surplus position of $9.1 billion. Like many other carriers, we've been taking rate increases to improve our profitability. These increases, along with an upsurge in customer shopping in response to rising industry rates have contributed to the 20-year high for growth in our direct written premium. That growth, which is over 16% year-to-date, is previously supported by strong retention of 91% for personal and commercial lines combined. With that, I'll turn it over to our Chief Financial Officer, Julie Pelkowski, for a more detailed review of our financials.
Julie Pelkowski: Thank you, Tim, and good morning, everyone. As Tim mentioned, the third quarter was similar to the first 2 quarters of this year. We are still being impacted by weather-related events across our footprint, and we continue to experience an elevated combined ratio due to inflationary pressures. That said, I am pleased to share that during the third quarter, the A.M. Best rating agency once again affirmed our A+ Superior rating for financial strength.  Now let me get into the details at hand for the quarter. As I noted, weather challenges continued in the third quarter, somewhat unexpectedly. Typically, storm activity diminishes in the second half of the year, but our footprint experienced two significant wind events in the early part of the third quarter. Catastrophe losses in the quarter also increased due to adverse loss development associated with prior storms occurring earlier this year. Non-catastrophe property claim severity continued to grow in both personal and commercial lines albeit at a more moderate rate than 2022.  Personal auto severity increases of 6% in 2023 are about half the level they were in 2022, while commercial auto and homeowner severity increase remain about 10%. To combat the increase in the combined ratio, we continue to take rate increases tightened underwriting guidelines and implement strategic agency management practices. Keep in mind that our policies span 12 months, and we will see a much more significant benefit next year from those increases as they are realized. Even with these rate increases, we are still maintaining high levels of retention, which is complementing our new business growth. For the year, we've increased new business premium more than 36% and total premium more than 16%.  With respect to the Exchange, the insurance operations we manage, direct written premium growth for the third quarter was 17.6%, driven by substantial growth in new business premium, which grew almost 40% over the prior year. With a net combined ratio for the quarter of 124%, the Exchange's policyholder surplus decreased to $9.1 billion, down nearly $1 billion from December 31.  Now shifting to Indemnity. In the third quarter, Indemnity generated net income of $131 million or $2.51 per diluted share compared to $84 million or $1.61 per diluted share in the third quarter of 2022. For the first 9 months of 2023, net income was $335 million or $6.41 per diluted share, compared to $233 million or $4.46 per diluted share for the same period in 2022. Operating income increased 39% or $42 million in the third quarter of 2023, compared to the third quarter of 2022. Indemnity also saw an increase in operating income of 33% or $98 million for the first 9 months of this year, compared to the first 9 months of 2022.  Indemnity's management fee revenue for policy issuance and renewal services increased $97 million or 17.7% in the third quarter of 2023, compared to the third quarter of 2022. For the first 9 months of 2023, Indemnity saw an increase of $256 million or 16.2% compared to the same period of 2022. The Management fee revenue allocated to administrative services increased $1.5 million in the third quarter and $3.5 million in the first 9 months of 2023, compared to the same period in 2022.  Turning to Indemnity's cost of operations for policy issuance and renewal services, commissions increased $45 million in the third quarter and $116 million in the first 9 months of 2023, compared to the same periods in 2022. The increases in agent compensation in both periods were driven by growth in direct and affiliated assumed written premium, partially offset by a decrease in agent incentive compensation. Non-commission expenses increased nearly $13 million in the third quarter of 2023, compared to 2022 and underwriting and policy processing expenses increased almost $3 million, primarily related to increased underwriting report costs. Information technology costs increased by almost $1 million, driven by increased professional fees. Also, administrative and other expenses increased just under $10 million in the third quarter of 2023, compared to the same period in 2022, driven by increases in personnel costs and professional fees.  For the first 9 months of 2023, Indemnity saw an increase in non-commission expenses of nearly $48 million. Expenses were primarily driven by increases in technology investments of almost $16 million, including professional fees, hardware, software and personnel costs. Underwriting and policy processing expenses increased just over $9 million due to increased reporting, personnel and postage costs. Administrative and other costs increased over $20 million due to an increase in personnel costs.  Overall, personnel costs were impacted by increased compensation, including higher estimated costs for incentive plan awards. This was partially offset by lower pension costs compared to 2022, due to an increase in the discount rate. The increases in incentive plan costs were driven by improved, direct written premiums and policies in force growth and a higher company stock price at September 30, 2023, compared to September 30, 2022. Investment income before taxes totaled just over $12 million in the third quarter compared to a loss from investments before taxes of nearly $1 million in the same period of 2022.  For the first 9 months of 2023, we recorded investment income before taxes of $19.2 million compared to $300,000 in the first 9 months of 2022. As always, we take a very measured approach to our capital management, and we maintain a strong balance sheet. For the first 9 months of 2023, our financial performance enabled us to pay our shareholders over $166 million in dividends. Thank you again for your time today.  Now I'll turn the call back over to Tim. Tim?
Timothy NeCastro: Thanks, Julie. As we head into the last part of the year, we continue to make progress in our journey to modernize our legacy platforms and enhance our digital capabilities. In September, we launched a pilot for our refreshed workers' compensation platform. The refresh introduces full policy servicing capabilities on our float application and service platform, the introduction of online accounts for our commercial customers and a new billing platform that allows customers to manage their account. The enhanced platform is being piloted in Indiana, who plans to roll it out in additional states before the end of this year. We're also seeing positive impacts of some of the digital enhancements made earlier in the year. Our agents ask for more capabilities to connect with customers through our online account platform. Now, thanks to updates made to our claims staff as a portal earlier in the year, customers and agents have important claim status information at their fingertips along with many other options, including online auto ID cards and paperless invoicing. In our third quarter, we've seen customer engagement and claim status grew by 8% compared to last year at this time. We believe this consistent growth will continue into 2024.  Before we close, I'd like to make note of several recent accolades for our business and our workplace. Forbes has recognized Erie, on its 2024 list of America's best insurance companies. Of the 84 companies on the list, Erie was 1 of only 5 to make a rankings in all 5 categories. Erie was ranked first in Permanent Life, 5th in Term Life, 6th in Auto, 7th in Renters and 8th in Homeowners. Erie was also recently named to Newsweek's list of America's Best Customer Service 2024, in the categories of homeowners and life insurance. These rankings were based on customers' likelihood to recommend, as well as criteria like customer focus, quality of communication, professional competence, range of services and accessibility.  Investor's Business Daily has listed in Erie on its 2023 most trusted financial companies list. The list is based on a survey that asks consumers to rate their financial service providers on attributes they said are most important to them. Erie ranked #2 in both auto and home insurance and 13th overall. On the workplace side, 3 of our employee Affinity Networks earned 2023 Diversity impact awards from the Global Employee Resource Group network.  This is the world's largest network of employee resource groups, business resource groups and diversity councils dedicated to making measurable progress on diversity, equity and inclusion. Fred Johnson, Vice President of the Wisconsin branch and executive sponsor of Erie's African-American affinity network was also one of six recipients of the network's Diversity impact Executive Sponsor of the award for a third straight year.  Finally, our future focus internship program has been named to the rising insurance Star executive list of the industry's 50 best internship programs for the third consecutive year. The future focus program has helped launch the careers with hundreds of current Erie employees who started these interns and it continues to serve as an important talent pipeline. This past summer, more than 100 interns from 50 different colleges and universities worked in departments across the company.  As always, thank you again for listening in today and for your continued interest in Erie.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.
Q - :